Operator: Good morning and welcome to the ODP Corporation's Fourth Quarter and Full Year 2022 Earnings Conference Call. I would like to introduce Tim Perrott, Vice President, Investor Relations and Treasurer, Mr. Perrott, you may now begin.
Timothy Perrott: Good morning and thank you for joining us for the ODP Corporation's Fourth Quarter 2022 Earnings Conference Call. This is Tim Perrott and I'm here with Gerry Smith, our CEO and Anthony Scaglione, our Executive Vice President and CFO. During today's call, Gerry will provide an update on the business focusing much of his commentary on our accomplishments for 2022 including our operational performance and the progress we're making on all of our initiatives to drive shareholder value. After Gerry's commentary Anthony will then review the company's fourth quarter and full year financial results including highlights of our divisional performance following Anthony's comments we will open up the line for your questions. Before we begin, I would like to inform you that certain comments made on this call include forward-looking statements, which are subject to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements reflect the company's current expectations concerning future events and are subject to a number of risks and uncertainties that could cause actual results to differ materially. A detailed discussion of these risks and uncertainties are contained in the company's filings with the U.S. Securities and Exchange Commission. Also during the call, we will use some non-GAAP financial measures as we describe business performance. The SEC filings, as well as the earnings press release. Presentation slides that accompany today's comments and reconciliations of non-GAAP financial measures to the most directly comparable GAAP financial measures are all available on our website at investor.theodpcorp.com. Today's call and slide presentation is being simulcast on our website and will be archived there for at least one year. I will now turn the call over to Gerry Smith, Gerry?
Gerry Smith: Thank you, Tim, and good morning for everyone joining our call today. Thanks for joining us this morning and we hope that all of our stakeholders and their families continue to remain safe and healthy. I'm so excited to be here with you today to discuss our results and accomplishments for 2022 as well as our strong finish in the fourth quarter. Our performance reflects our team's continued operational and financial focus I guess increasingly challenging macroeconomic backdrop. As I begin, I'd like to recognize our entire team for remaining focused and driving these strong results, while addressing all the strategic initiatives we faced throughout the year, including the launch of our new 4 business unit structure. This required tremendous effort. I couldn't be more proud of all of our team members who go out every day and demonstrate what makes our company so remarkable. Our success this year is a true testament to all of our teams across our businesses as we continue to demonstrate operational excellence, which allows us to hit the commitments we made at our Investor Day meeting. It is no secret that throughout the year. The entire market experienced challenges related to the macroeconomic environment burden with high inflation supply chain challenges and the onset of slower GDP growth and consumer spend. As shown on Slide 4, inflation rose to a 40-year high increase in input cost in our business impacting supply chain conditions by ocean freight constraints in higher transportation costs with diesel fuel prices up an average of roughly 50% versus last year. This was a challenge, not only for ODP, but for companies in almost all industries and many of these challenges, we continue to face today and expect to face in the year ahead. While 2022 presented these challenges, I am so proud of our team for once again rising up to address them head on, we utilized our supply chain operations diverse routes to market, pricing flexibility and balance sheet flexibility to help drive our low cost business model and offset many of the hurdles we faced. Overall, we successfully navigated through a very complicated year delivering full year results consistent with our guidance despite this difficult backdrop. A key component of our success, for remaining true to the core tenants that drive our business helping us reach our goals for the year and establishing a foundation for the future and setting us up to execute upon our 3 horizon strategy, which I will discuss in more detail in a few minutes. Perhaps most important of our core tenants is our continued focus on our low cost business model and operational excellence. Our low cost business model focus is one of the areas. I'm most proud of and remains a cornerstone of our operating strategy. I learned this approach after 30 years in tech hardware where managing unit cost was so important and every penny counted. After spending years driving operational excellence and a low-cost mindset we embedded this focus in this fabric ODP and that's helped us to significantly lower our operating cost base hoping us to move from a highly fixed cost business to a more variable operating structure. And as I shared on Investor Day over the past 5 years, we have eliminated over $500 million in operating costs, helping us thrive through challenging economic cycles and finding new and better ways to serve our customers and we're not stopping there. We're continuing to look for more and better ways to efficiently operate our business, including the use of automation, machine learning and AI tools to help us lower the cost to serve and improve our customer service. In 2023, we will also continue to develop our analytic capabilities in Veyer leveraging the investments we made in our proprietary technology which is flow path providing greater insight into the economics of our supply chain to further improve efficiency and we will also leverage the investment that we've made in our digital platform business Varis positioning this business for future growth and allowing for even more efficient means in which to serve customers. And of course, we expect to continue to execute upon our $1 billion share repurchase program. All these actions support our low-cost business model focus and enhance returns for shareholders and we will continue to drive our operational excellence and low cost model, which is part of our 5C Culture and a competitive differentiator. And it's not just what we accomplish it's, also how we reached our goals as shown on Slide 5. At the center of our approach is our winning 5C Culture. The 5C stand for customer, commitment, creativity, change and caring, these are not just words on paper, but rather our 5C Culture is our North Star and the engine of how we work and live in our communities every day. I'm very proud of culture, we have created and the foundation, it provides as we support our community, attract new talent and continue to execute upon strategic priorities. I think a true testament to our 5C Culture is a strong team we have built over the past few years, attracting the best and brightest talent across a broad range of industries including technology, business commerce, supply chain and finance. I can't express enough gratitude to our team and living up to our 5C Culture, serving customers and supporting our communities. We've continued to set the highest standards for corporate responsibility investing in and giving back to our communities throughout the year. For example, we doubled the impact of Elevate Together a signature initiative in the second year of operation, helping to reduce historic barriers to bringing racial equity to small business owners and entrepreneurs. Through our Start Proud initiative, we continued our strong support of teachers and students with our program supporting low income elementary schools across the nation providing fully filled backpacks still of supplies, gift cards and awards for teachers. For the fifth straight year, we adopted 35 of the most economically distressed elementary schools across the U.S., providing 18,000 fully stock backpacks over $350,000 and Office Depot gift cards and teachers supplies. Nearly 1,000 of our associates assemble and distribute these resources as school-based events. Our award winning Depot difference program continues to provide strong support of our national partnership with the Boys and Girls Clubs of America. And this year our Depot difference team partnered with a newly established ODP Business Solutions team are working with school districts and relief agencies to provide support to the region devastated by Hurricane Ian. I am so proud to be the leader of the company with such a strong commitment to our communities, the environment and a culture that truly makes a difference. Now, before we get into the specifics of our major accomplishments in 2022. I'd like to spend a few moments discussing the way we're thinking about our business and driving long-term value through what I call our 3 horizons strategy. This is shown on Slide 6, over the past several years, we've been transforming our business to lower our cost, position our assets with the right routes to market and innovate to create a more valuable company. The core tenets I mentioned earlier, served as guideposts to establish the new ODP Corporation reposition and recognizing the power of the assets in our control. And all that work and effort culminated in our realigned 4 business unit structure that we highlighted during our Investor Day meeting. Our new operating structure is creating opportunities for our businesses to create value as we execute upon this strategy. This strategy puts into perspective how we will drive our business units in order to lock the underlying fundamentals of our business, build, long-term sustainable growth, expand our multiple and maximize shareholder value. And with our 4 business unit model, we are in an excellent position to drive our business unleash greater value. Let me highlight this approach our first horizon focused on continuing to drive Office Depot strong performance excellent customer service and net promoter scores and most importantly, continue to drive strong EBITDA and cash conversion. Office Depot is a cash generation engine and this horizon continues that focus is getting the most out of this engine. As we laid out at Investor Day, we will continue to optimize and nurture this business at a new product assortments aligned with customer needs while continue to provide excellent service to the targeted customers base, including small businesses, education and home office customers and we measure our service with NPS or net promoter scores and our team has delivered outstanding results. Next, our second horizon is focused on continue to drive ODP Business Solutions our B2B distribution business delivering growth, margin expansion and cash flow. This is a higher multiple B2B distribution business with a solid runway ahead for profitable growth as you see in our release this morning, we're moving well along the path we set our Business Solutions team is executing upon this horizon continued to gain traction with customers and driving profitable growth. We will continue to execute its core strategy of expanding its customer base, expanding the products and services it offers to customers and kids units focus on margin expansion aligned with our long-term targets. We believe that as we execute our plan. The market will begin to recognize the value of this higher multiple business and this will be reflected in ODP's overall value. Our third horizon is building value pursuing higher long term growth opportunities through Veyer, our supply chain and procurement business and in Varis our innovative B2B digital platform business. Both these businesses represent significant long-term growth and multiple expansion opportunities for ODP. There is a world-class supply chain business with valuable assets and capabilities that include next day service to nearly 99% of U.S. zip codes a large private fleet over 9 million square feet of distribution center space and through our global sourcing office strong international procurement expertise. We stood up there this year, moving them from a cost center focus to now a key business unit driving its own focus go-to-market strategy and serving customers. There is focused on continuing to provide excellent service and being a low cost provider supporting the success of its 2 internal customers ODP Business Solutions and Office Depot, while also using existing capacity to serve external third-party customers. Varis already serving several third-party customers, including some of our vendor partners as well as way to reach long-term goals, we said during Investor Day, which included generating at least $30 million in EBITDA for third-party customers utilizing existing capacity. And lastly, Varis is a key high growth component to this long term horizon. Varis represents perhaps the largest addressable market opportunity for ODP through providing a modern consumer like digital B2B procurement platform experience that contractually connects procurement organizations with suppliers and vice versa. This is a high multiple growth opportunity with a very large target market and a scalable business model that also improves the efficiency in which we serve our customers. Over the last 2 years, we've made significant progress. We have built a world-class team led by Prentis Wilson that has embarked on developing and refining the tech stack and capabilities and as we announced during our Investor Day meeting, we launched the network more broadly this past November. It is still early days however we are adding new customers and suppliers to the platform and continuing to refine its capabilities. We're excited about the path that Varis is on and the multiple opportunities to pursue growth that it represents and we accomplished all of this while maintaining CapEx investment levels within historical ranges. So overall, our 3 horizon strategy will help us continue to drive our near term cash flow engines, while allowing us to continue to pursue both mid and long-term growth and higher multiple businesses, which we believe will create significant value for our shareholders. This is all anchored on our low-cost business model focus to EBITDA and EPS growth while prudently managing our balance sheet and deploying capital to the benefit of our shareholders and of course, continuing to live our 5C culture. Lastly, we will continue to demonstrate our operational excellence which is fundamental to our success. Now turning to the highlights of our major accomplishments for 2022 as shown on Slide 7, first, we drove solid operating performance for the year and delivered results consistent with our guidance. We drove these strong results despite the industry wide challenges mentioned earlier. Revenue was up year-over-year and our operational excellence and low cost model approach combined with flexible pricing and distribution strategies hope to drive solid operating results and cash flow against a more challenging backdrop to the year. Our year-on-year growth included the positive impact of the 53rd week being present this year. This adjustment happens every 4 or 5 years for companies who report on a 4-4-5 calendar. Anthony will provide more color on the impact to our 2022 results and comparisons for 2023 later on in his remarks. Next we address the strategic initiatives that were before us earlier in the year and we completed the realignment to our operating structure that supports the launch of our realigned 4 business unit model. This structure more fully reflect the power of our businesses and unlock shareholder value and we feel this is a catalyst for expand our multiple over time as each business unit demonstrates our individual growth and earnings power, which we felt was not previously reflected in the combined ODP multiple. And as a component of our new structure, we stood up there. Our supply chain and logistics business and Varis our B2B digital platform business. As I mentioned earlier, these new businesses represent attractive new long-term growth opportunities for ODP and last, but certainly not least, we expanded our commitment to enhancing shareholder value by announcing our $1 billion share repurchase program. Let me spend a few moments on our activity under this effort. As we announced during our Investor Day meeting our Board of Directors approved a $1 billion share repurchase program, we are excited about what this means for our stakeholders and how this program is supported by our strong balance sheet and operational excellence plan is expected to generate significant cash flow over the next several years. We have been aggressively executing under this plan. During the quarter repurchase a significant, number of shares since we launched it in early November. In addition to the shares we repurchased earlier in the year. In total for 2022, we have repurchased about 6.4 million shares for about $266 million with the majority purchased under the new authorization we've also continued our repurchases into the New Year. As we move throughout the balance of the year, we will continue to be disciplined in our approach to overall capital deployment. As we consider evolving market conditions and opportunities within our business, but expect with support from our Board to continue repurchasing throughout the year. On Slide 9, our overall performance in 2022 reflects the positive attributes of our team's commitment to operational excellence and the value of past investments we made in our infrastructure and the flexibility of our business model. As I mentioned, the industry backdrop and macroeconomic environment proved to be increasingly challenging throughout the year. Because of the investments we previously made in our supply chain infrastructure, the flexibility of our distribution network and pricing scenarios, as well as our low cost model approach ODP has been able to navigate better than most companies through these challenges. We've addressed the challenging supply chain environment by leveraging our large presence in Asia through our global sourcing office. As well as the investments we have made in our private fleet and the flexibility of our distribution network, which includes our long-term relationships with our distribution partners and suppliers. We also utilized pricing flexibility to help mitigate some of the inflationary increases, allowing us to pass through certain price increases to help alleviate cost pressures. Our revenue results were driven by strong performance at ODP Business Solutions as more businesses return to the office post COVID. This was somewhat offset by lower revenue Office Depot related to both a reduction in store footprint and lower e-commerce traffic as individual consumers have been less active compared to last year. In all, our value proposition continues to resonate with customers and when combined with our low cost business model approach, we drove close to $300 million and adjusted operating income in the year and solid EBITDA results. Now turning to highlights of our divisional performance on Slide 10, starting with ODP Business Solutions, ODP Business Solutions delivered strong results throughout 2022. Over the past several years, we built a strong customer base with over 140,000 enterprise customers, including about 60% of the Fortune 100, this business exhibited strong growth and is clearly on the path to expand its margins back to and beyond pre-COVID levels, a long term KPI that we identified during our Investor Day meeting. Revenue growth was strong in the year up 11% as continued back to office trends continued to gain traction as we drove our market based pricing model and maintain high revenue retention levels. Back to office trends have been a nice tailwind for the business with external tracking reports now estimated at 50% of workers are back in the office. This has helped us offset some of the effects from the well-publicized corporate layoffs. We've seen in the news over the past year. Our adjacency categories continue to grow and comprise 44% of total ODP Business Solutions sales. A standout among our adjacency categories is our Jan/San cleaning and breakroom category, which to-date has grown to about $700 million per year in revenue, which has taken on an independent basis makes us 1 of the larger Jan/San supply businesses in the U.S. We also drove margins higher and nearly doubled our operating income relative to last year capturing higher top-line growth and utilizing our disciplined approach to operational excellence and continued focus on customer profitability reviews. Moving forward, we are well on the path to reach our long-term goals expanding margins and continued focus on maintaining our leadership position in the traditional business supplies categories while growing our adjacency categories, continuing our success in the federation and focusing on customer growth in the areas we have the right to win. Next on Slide 11, Office Depot continues to be a strong cash generation engine for ODP again drove solid margin performance and cash flow in the year as our team executed upon our low cost model approach and delivered a value proposition that continued to resonate with our customers. I'm extremely proud of our team for continue to derive a positive shopping experience, leading to continued strong net promoter scores above 70% among the best in any industry. Revenues were lower versus last year partially driven by fewer stores and service. As a result of planned store closures as well as lower traffic trends in store and online post COVID which were partially offset by stronger sales per shopper and stronger omnichannel sales supported by 20-minute pickup guarantee. From a product perspective as some of the effects of COVID received during the year, we saw an increase in demand for traditional copy and print services, paper, school and breakroom supplies. This was offset by lower sales of cleaning and PPE products supplies and technology products all categories and higher demand during the pandemic. As it relates to tech, Kevin and the team are keenly focused on the product assortment and sales flow through given some of the more acute challenges affecting technology categories overall. Moving forward, given the weaker macroeconomic environment, we will continue to monitor any changes in consumer activity, which we noted weakening in the back half of last year. We will also continue to optimize our store footprint and fine tune our product set to address the evolving needs of our customers. On Slide 12, we highlight there, a key growth engine for our future and a component of our third horizon. There is our world class supply chain services and sourcing provider with core competencies and distribution fulfilment, transportation global sourcing and purchasing, which also includes our global sourcing operations in Asia. As mentioned earlier, we separated own business and reporting unit moving forward. Varis is focused on delivering best-in-class service to ODP's internal customers at a low cost while leveraging its existing capacity to provide services to third-party customers. We stood up there as its own business unit in the back half of last year as its own focus profit center to capture the full value of its unique assets and helped drive a new narrative for our shareholders and value in this business. Veyer is making progress not only serving our internal customers with efficient and low cost services benefiting both internal and external customers, but also growing influence with third-party customers and building the pipeline of future business. While external revenue was steady for the year internal revenue was lower related to less demand in our consumer business. That said, we believe that Veyer has come out again strong is on the path that we set during our Investor Day meeting to reach at least $30 million in EBITDA from external sources by 2025. Veyer represents a great opportunity to generate organic EBITDA from our existing infrastructure and the investments we're making to be more efficient and over time will build upon its world class capabilities to provide full 3PL services supply chain and procurement services to third-parties in the future. Turning to Slide 13, Varis continued to make solid progress throughout the quarter and the year. As we announced during our Investor Day meeting, it is still early days as we launch the platform during the fourth quarter and continuing to refine its capabilities, work with our partners and add new customers and suppliers to the platform. We are running hard attracting new customers driving volume through the platform adding new bookings and converting revenue. While Varis didn't incur considerable expenses during the year as we prepared for launch. As we mentioned during our Investor Day meeting, we expect that 2022 was the peak year of investment. We're also continuing to evaluate future funding alternatives to help us accelerate our plans for growth and scale the business. 2022 was a transformative year for ODP. Our team accomplished so much driving strong results meeting our commitments and establish our foundation for the future. As we move forward in 2023, we remain cautiously optimistic about the year ahead as we continue to navigate the increasingly challenging macroeconomic environment and its effect across all industries. That said, we remain in a position of strength with a, strong balance sheet diverse routes to market and continued low cost business model and mindset and our operational excellence, we have demonstrated. We will continue to be disciplined focusing on operational excellence and driving our low cost business model focus across all of our businesses. We will be relentlessly focused on cash generation and navigating through what we expect will be another challenging year for the macroeconomic environment. We will focus on unleashing the power of our core business unit model and driving value and multiple expansion for our 3 horizon strategy. We will continue to drive our cash generation machine Office Depot and work to improve traffic trends, expand our adjacencies to capture new opportunities. At ODP Business Solutions, we will focus on continuing to grow our top-line remain disciplined in expanding our margins along the path we said on Investor Day. Varis focused on continuing to provide excellent service levels, remain a low cost provider for our internal customers are pursuing new third-party business using existing capacity. And Varis is all about adding bookings converting bookings to revenue and working to drive scale in the platform. And finally, we will continue to live our 5C culture. With that, I'll turn the call over to Anthony Scaglione, our CFO.
Diego Scaglione: Thank you, Gerry and good morning to everyone on the call today. I'm happy to be here today to discuss our financial results for the fourth quarter and full year 2022. As I begin, I'd like to say thank you to our entire team for remaining focus during what was a very complicated year as we realign the business and wrap the market with the backdrop of an increasingly difficult macroeconomic environment. The team did an incredible job staying focused on our customers while navigating through the effects of high inflation and supply chain constraints. We're excited about our new 4B structure we highlighted at Investor Day and unleashing our full potential by more fully realizing the value of our assets and positioning ODP to pursue greater opportunities for long-term profitable growth. Our accomplishments, this year is a clear demonstration of the operational excellence and strong commitment from our world-class team and a team that has continued to live up to our 5C culture. As you heard from Gerry, the challenges related to the macroeconomic environment were numerous during the year. Rising inflation caused mid-single-digit increases to our average overall cost of goods sold via our product baskets, along with other input costs to the business. Supply chain operations remain constrained with ocean freight container costs exhibiting significant volatility with spot prices up more than fivefold. Diesel fuel costs up 50% and labor continuing to be scarce and costly. However, with the investments in our infrastructure that we have made over the past several years, along with our low-cost model and flexible pricing strategies, we remain in a strong position to help mitigate some of these challenges. We utilize our private fleet and global sourcing office to help offset some of the broader supply chain challenges. While we saw pressures building early, we closely manage inventory and used our flexible pricing discipline to help offset some of the effects of inflation. We also carefully manage labor costs, utilizing short-term incentives to remain competitive while continuing to give us flexibility moving forward. Our ability to execute and navigate this challenging environment is a testament to the investments we have made over the years and is, a core strength in our foundation. I would note that although some of the conditions from a supply chain standpoint have improved in the back half of the year, the environment continues to remain challenging. And while we see some signs that certain constraints are abating, we expect that these conditions will persist in the near term. That said, we are in a strong position to continue to mitigate some of the challenges and manage accordingly. As I cover our financial highlights for the quarter and year, I would like to point out that our yearly and quarterly results include the positive impact of the 53rd week in 2022. As with many companies with a retail component, our reporting period is based on a 4-4-5 calendar, meaning our months are on a cycle of 4 and 5-week period. Typically, this fits into a traditional 52-week year, but every 4 to 5 years, there is an extra week accounted for in the year, causing some distortions to year-over-year comparisons. This past year in 2022, we had the positive impact of the positive impact of the 53rd week, which will reset the cadence and reporting calendar. While we did receive a benefit to revenue and operating income related to the extra week in the year primarily in our Office Depot and ODP Business Solutions division. It is worth noting that we did begin the fiscal 2022 prior year. On 26th December, during a week with relatively lower demand. I will point out the impacts related to the 53rd week as I cover our financial results. Now turning to the highlights of our financial results as shown on Slide 16 consistent with previous quarters, we have provided our results on both a GAAP and adjusted basis. Turning to the specifics of our results, we generated total revenue of $2.1 billion in the fourth quarter, up 3% versus Q4 of last year. This amount included the favorable impact related to the 53rd week of approximately $128 million. This was primarily driven by stronger sales and ODP Business Solutions as return to office trends and business activity remains strong in the quarter. Much of this was offset by lower sales in our consumer business Office Depot partly due to 58 fewer stores in service compared to last year coupled with lower traffic lower e-commerce sales and lower comparable sales for products previously in high demand, last year in the later stages of the pandemic. GAAP operating income in the quarter was $55 million, up from $31 million last year. Operating income included the favorable impact related to the 53rd week of about $20 million also included in operating income was a net $3 million of charges, consisting of 6 million associated with non-cash asset impairment, primarily related to the right of use assets associated with our store locations $8 million of other operating costs associated with the realignment activities and restructuring costs, offset by the reversal of $11 million related to restructuring activities as we reviewed the remaining amount of our maximize B2B restructuring program. Excluding these items, our adjusted operating income for Q4 was $58 million, up from $47 million last year. Unallocated corporate expenses were $22 million. Adjusted EBITDA of $89 million for the quarter compared to $87 million in last year's fourth quarter. This includes adjusted depreciation and amortization expense of $31 million and $35 million in the fourth quarter of 2022 and 2021 respectively. I would also mention that overall depreciation has been slightly lower as a result of the reclassification of our headquarters building as an asset held for sale. The fiscal 2022 cumulative amount of the reduction is approximately $1.5 million. Excluding the after tax impact from the items mentioned earlier, adjusted net income for the fourth quarter was $40 million or $0.85 per diluted share compared to adjusted net income of $37 million or $0.71 per diluted share in the prior year period. Turning to cash flow, our team did a terrific job in driving cash flow in the quarter. Seeing some of the pressures in the first half, we took a keen eye on managing inventory levels, and other working capital items helping to deliver strong cash flow to close out the year. In the quarter, we generated operating cash flow of $158 million which included about $20 million in restructuring and other spend. This compares to operating cash flow of $88 million last year. Capital expenditures in the quarter were $31 million compared to $26 million in the prior year period, reflected targeted growth investments in our digital transformation, distribution network and e-commerce capabilities, partially offset by lower CapEx in our retail division. Adjusting for cash charges of approximately $3 million associated with the company's restructuring and realignment plans. Adjusted free cash flow in the quarter was $147 million, a significant increase from $80 million in the previous year. I can't say enough about how proud I am of our team for driving cash flow over the past year, given all the macroeconomic challenges we faced, which is, a true testament of our operational focus. Now turning to Slide 17, I've highlighted some of the key performance measures. For the full year 2022, we delivered impressive results against a much more demanding macroeconomic backdrop meeting our guidance ranges for the year. Total company sales for the year totaled $8.5 billion flat with the prior year. This includes the impact related to the 53rd week, as I mentioned earlier. Stronger sales generated in our B2B business as back to office trends increase throughout the year and business activity picked up helped to drive our performance. This was offset by lower sales in our Consumer Business segment, largely due to a smaller store footprint relative to last year. Lower traffic, as consumer activity was slightly weaker throughout the year and lower e-commerce sales. As reflected on a full year GAAP basis, we recorded operating income of $243 million compared to operating income of $234 million last year. This result also includes a favorable impact related to the 53rd week. Strong top results and our continued commitment to our low-cost model approach helped drive this result. It is also worth mentioning that this result included the impact from our peak year of both OpEx and CapEx investment related to Varis. Full year adjusted operating income was $296 million compared to $305 million last year with adjusted EBITDA of $437 million, solid results given the challenging business conditions excluding the after tax impact from the items mentioned earlier, 2022 adjusted net income from continuing operations was $216 million or $4.40 per share, compared to $234 million or $4.28 per share in the prior year period. Finally, regarding cash flow for the year, cash provided by operating activities of $237 million which included $63 million in cash costs associated with our restructuring separation activities and other costs. CapEx was $99 million in 2022 largely targeted at our digital transformation B2B platform and e-commerce capabilities. In total, we generated adjusted free cash flow of $201 million in 2022. Looking back at our cash flow and comparing first half versus second half of 2022. It highlights just how much effort our team made to meet our target for the year. We delivered a $147 million and adjusted free cash flow in the fourth quarter and over $300 million in the second half of 2022. A tremendous improvement over the first half of the year where adjusted free cash flow usage was $100 million as we address higher supply chain costs and overall inflation. As we navigated the second half of the year, the strategies we implemented to manage our inventory levels, balanced pricing promotions and drive cash conversion led to strong performance across all our key metrics. Now I would like to cover our business unit performance starting with ODP Business Solutions on Slide 18. ODP Business Solutions continues to deliver improving results as the return to office trends gain further traction generating revenue of just over $1 billion in Q4, up over 10% in the quarter relative to Q4 of last year. This did include a benefit related to the 53rd week of about $58 million. Our core contract business, our Federation Companies and our Grand & Toy business in Canada all delivered strong year-over-year growth. As a reminder, our Federation Companies are the regional tuck-in acquisitions, we have been executing over the past few years including this year, expanding our distribution reach and allowing us a more effective customer acquisition strategy in previously underserved markets. From a product and services standpoint, we saw stronger demand across the board for core supplies as well as for our adjacency categories including Jan/San cleaning and breakroom workspaces and copy and print services. Our adjacency product categories as a percentage of total revenue, a KPI for ODP Business Solutions remained at 44%. This percentage may toggle from quarter-to-quarter, but our long-term objective is to consistently grow this percentage and also absolute dollars as we expand our value proposition and while continuing to leverage our strength in core categories. For 2023, we expect this percentage to be flat to slightly up as compared to fiscal 2022 and as you heard during our Investor Day meeting ODP Business Solutions is on a path to drive its EBITDA margins back to pre-COVID levels and beyond. They made real great progress throughout the year and quarter, generating operating income of $37 million in the quarter, more than double last year. This represents a 180 basis points margin improvement as a percentage of sales. This included a favorable benefit of about $5 million related to the 53rd week. Strong sales of core supplies and efficient operations and pricing discipline helped to mitigate inflationary pressures and positioned us to drive these strong results. I would add that the work we started in early 2022 utilizing our data driven approach and performing line level reviews of customer contracts has helped us identify margin opportunities in the business, while continuing to meet customer demands in the most efficient way. Now turning to our Consumer Division results as shown on Slide 19, our Office Depot Consumer Division continued to provide excellent service and a strong value proposition to its home office education consumer and small business customers. Reported revenues in the quarter were down 3% to $1.1 billion, driven partially by 58 fewer retail stores in service this year versus last year related to planned store closures as well as lower store traffic. We did experienced relatively sluggish consumer behavior in the second half of the year and it is an area we are closely monitoring to the start of 2023. Additionally, we closed 29 stores in the quarter, ending the quarter with just under 1,000 stores in service. Sales results benefited by approximately $70 million from the 53rd week. Lower sales for product categories previously in high demand during the window of the pandemic contributed to the lower year-over-year revenues. A good example of this is cleaning products as well as certain tech, partially offsetting lower demand and same-store traffic in the quarter was higher conversion rates and average order volumes, leading to a strong increase in sales per shopper. We saw continued strong demand for our copy and print services as well as in mail and shipping services, offset by lower demand in core categories and cleaning. We are happy to report that our omnichannel presence on a same-store basis continued to grow with strong BOPIS sales in the quarter. Supporting the success is our 20-minute pickup guarantee, which continues to drive strong customer satisfaction with our retail net promoter scores above 70%. From an operating perspective, we continued to deliver solid operating margin performance in the quarter despite the lower traffic and higher supply chain and inflationary cost. We generated operating income of $57 million in the quarter compared to $59 million last year. Lower operating income compared to last year was primarily driven by lower sales and higher input costs related to inflation. Our operating results benefited by about $15 million related to the impact of the 53rd week. Finally, we are excited by the launch of our new imagine success campaign which highlights how we are a destination for home office, education, consumer and small business customers who can rely on us to meet their growing needs. As we mentioned during our Investor Day meeting, our KPI for Office Depot are focused on improving our same-store sales comp and driving e-commerce sales. For 2023, we're focusing on delivering same-store sales comps in the range of negative 2% negative 3% on a comparative basis, which is a slight improvement over fiscal '22 results. We also expect that our online penetration will continue to be a source of strength as we execute on the full potential of our omnichannel strategy. Now turning to Slide 20, as we mentioned earlier, we have separated Veyer into its own business and its own reporting unit. Veyer specializes in B2B and consumer business service delivery with core competencies and distribution, fulfilment, transportation, global sourcing and procurement, which also includes our operations in Asia. As we outlined at Investor Day, Veyer serves the internal needs of its primary customers Office Depot and ODP Business Solutions, as well as third-parties through our procurement and supply chain business. Our inter-company agreements between Veyer and the business units stipulate the cost and fees charged for procurement of goods and supply chain services. Veyer stated mission statement is to be the lowest cost provider to Office Depot and ODP Business Solutions, which will drive the best enterprise results upon consolidation for all of ODP. Therefore, as we undertake actions to drive efficiencies including strategically optimizing working capital and distribution effectiveness which may include alternate sourcing strategies such as the use of virtual warehouse delivery to Office Depot and ODP Business Solutions and customers. The intercompany revenue and corresponding allocated profit to Veyer could fluctuate over time. For example, we are pursuing new sourcing activities that should reduce the inflationary impact we have seen in certain categories. As Veyer is successful in those endeavors benefiting the total ODP enterprise, which is our focus, the fees Veyer collect from the sourcing component of the intercompany transactions could be lower, resulting in lower allocated operating profit at Veyer. Therefore, as we proceed throughout this year and going forward, it will be helpful for us to provide investors with transparency as to the fluctuation in Veyer's operating results as a result of these intercompany activities. Outside of intercompany transactions Veyer is also pursuing third-party growth leveraging our capacity and expertise in-sourcing and logistics and as we continue to look at opportunities to become more efficient with our internal customers. And these benefits should accrue to attracting external customers as well. This is something we are very excited to grow going forward and is a key measure of the long-term commercial success for Veyer. This is one of the primary reasons we have positioned it as a standalone entity. And as Gerry mentioned in the 3 horizon strategy, this is a great opportunity to generate organic EBITDA from our existing investments and over time, build upon its world-class capabilities to provide full 3PL services to third-parties in the future. Regarding its financial results for Q4 Veyer drove sales of $1.5 billion predominantly supporting the purchasing and supply chain operations of ODP Business Solutions and Office Depot that are eliminated upon consolidation. Included in this amount was $10 million in sales to external parties, more than double the previous year. Veyer's total operating income for Q4 was $4 million compared to $7 million last year, primarily due to the aforementioned intercompany transactions and how we fulfilled orders for our customers along with lower B2C product volume. However, as a key metric that we identified during our Investor Day meeting, we are beginning to see solid traction in EBITDA generated from third-party customers and while small, this is one of our key metrics going forward. And we are making progress, showing a significant increase in EBITDA generated from third-parties in 2022 including amounts generated through a contra expense benefit from providing supply chain services and backhaul to our vendors, thus lowering the overall cost of delivery. While we are encouraged by this progress, we are even more excited about the year ahead. As our plans call for more than doubling of the amount of externally generated EBITDA in 2023 targeting approximately $10 million in EBITDA from third-parties in the year ahead. This progress places us ahead of the path we set during our Investor Day meeting, which had a goal of $30 million by 2025. Now, turning briefly to Varis on Slide 21, as you heard during our Investor Day meeting Varis is our digitally native B2B procurement platform that is focused on transforming digital commerce between buying organizations and suppliers. Varis aims to provide a more modern and convenient experience a consumer like experience connecting buyers and suppliers in a way that solves the pain points that exist today, saving money for our customers and removing friction through a digital experience. We recently launched the Varis platform at the end of last year and we are continuing to add customers and suppliers to the network. With the goal of driving Gross Transaction Volume or GTV which is both merchandise and services through the network. The key KPI we identified at Investor Day. Keeping in mind that the platform launched late last year from a results perspective Varis generated about $2 million in revenue in the quarter primarily subscriptions derived from existing customers that we acquired on the BuyerQuest platform. As we previously announced, we expect that 2022 will be the peak year of investment for Varis as we prepared and launched the platform, and position this business to scale for the future. Related to this effort Varis is operating loss was $18 million in the quarter. It's still early days, but we are really excited about the progress we're making at Varis and a continuous improvement and positive experience we're bringing to the table for our customers. As part of our plan for 2023, we will also begin to transfer some ODP Business Solutions customers that are primarily direct assist customers. These direct assist customers are generally smaller customers utilizing ODP Business Solutions platform independently, with typically lower level of direct interaction from ODP sales force. Putting some of these customers over will create value for the total enterprise for a number of reasons. First, this will allow us to provide our customers with a better and more modern e-commerce experience improving satisfaction levels. Next, given the ease of use and convenience of the platform, our customers will not only be able to continue to purchase ODP products, but we'll also have the opportunity to source other products they buy outside of ODP's assortment through the platform from other suppliers, growing both GTV and creating additional revenue opportunity for Varis and the collective enterprise. Lastly, what we have seen in early adoption is that customers buying through the Varis platform have higher overall contract compliance, a key benefit for ODP Business Solutions and for both customers and suppliers on the Varis platform. So overall, this creates a great opportunity to improve customer experience, efficiency and contract compliance while providing an opportunity to capture more sales through the platform from other products and services they buy outside ODP Business Solutions. From an economic standpoint, ODP Business Solutions will continue to generate revenue as they have from sales of their products to these customers. However, at a slightly lower margin, as they will pay transaction fee to Varis as gross transaction volume flows through the platform. Just like any other vendor using our platform to transact their business. That said, we believe the benefits related to higher contract compliance, more efficient customer reach, lower sales commissions in certain cases and the additional opportunity to capture overall GTV sales more than outweighs the incremental fees ODP Business Solutions will incur for using the platform. We're excited about the progress and hope you can join us and members of the Varis team as we show a demonstration of the Varis platform tomorrow at the NASDAQ. Now briefly turning to our balance sheet on Slide 22, we ended the quarter with total liquidity of approximately $1.3 billion, consisting of $403 million in cash and cash equivalents and $856 million in availability under our asset-based lending facility. Total debt at the end of the quarter was approximately $188 million. Next, as we announced in November, we put a new $1 billion share buyback plan in place and we have been aggressively buying back shares in the fourth quarter. In Q4 and under the new plan, we repurchased about 3.4 million shares for approximately $153 million. Adding this to our activity under our prior authorization, we retired about 6.4 million shares for approximately $266 million. You'll notice a slightly higher number of shares we purchased in our upcoming 10-K, which includes the final share settlement of our ASR program in Q2. In total for 2022, we have returned nearly $300 million in capital to investors through share buybacks and I am pleased to announce we continue to be active repurchasing shares as our liquidity supports our program and we see continuing value in the ODP equity story. We finished the year with a very strong balance sheet, allowing continued flexibility for our allocation of capital. Our priorities include repurchasing shares and driving our business for cash flow and selected avenues for growth, all with the goal of maximizing shareholder value. Before moving to 2023 guidance, we will be issuing our 10-K later today. And I want to thank the entire finance team on that significant lift. In addition to help support our analyst and investor community, we plan to release our historical GAAP financials under the 4BU structure in the upcoming weeks we will be furnishing this information under an 8-K. Now turning to our 223 guidance as shown on Slide 23, considering the macroeconomic environment and industry conditions, our guidance for the year ahead is as follows: we are expecting to generate sales in the range of $8 billion to $8.4 billion, which includes the impact of closed stores, annualized and expected. We're expecting to deliver adjusted EBITDA between $400 million to $430 million and adjusted operating income between $270 million to $300 million. We are aiming to drive adjusted earnings per share between $4.50, to $5.10 per share. This range will include the effect of our activity under our share repurchase program. We plan to generate adjusted free cash flow between $200 million to $230 million and CapEx between $100 million and $120 million. A few comments about the assumptions in this guidance, first, as we stated earlier, we have been experiencing some weakness in consumer activity in the second half of last year and our guidance assumes that this carries forward into 2023, but stays relatively stable throughout the year. We expect that the current macroeconomic conditions stay relatively constant with the end of 2022. The guidance also assumes continued activity under our share buyback authorization a similar pace of store closures at Office Depot and a continued top line and margin improvement at ODP Business Solutions. We are also assuming a stable supply and procurement environment out there and revenue growth and lower OpEx burden at Varis. As we stated during our Investor Meeting, we expect that 2022 was the peak year of investment for Varis as they prepared and launched the platform. Our 2023 guidance assume that revenues will begin to grow on the platform and we expect that CapEx investment for Varis will be approximately in the range of $20 million to $30 million and OpEx in the range of $50 million to $60 million. In summary, we've executed extremely well across our strategic initiatives and drove strong results in 2022. We have strategically realigned the business have a capital return plan that balances investments with returns to shareholders and an organization that is fully aligned and excited about the years ahead. And with that, operator, I will turn it over for questions.
A - Timothy Perrott: This is Tim Perrott with ODP. We actually have an analyst. They could not join us today on the call, so he has submitted some virtual question. So I'm going to go ahead and ask those virtual questions. So the first question and this is from Michael Lasser of UBS. You provided strong guidance for 2023 which does assume a relatively stable macro environment. Just how sensitive is the business - say the employment goes from 3.5% to 5%. Just what is the 00:56:59?
Gerry Smith: Let me jump in. I'll let Anthony add some color as well. First of all, I think we have diverse routes to market. That's the power of the 4BU model. I think that's going to help us. You saw the strength and ODP Business Solutions in 2022. We see that continuing into 2023. I think that our low cost model. Our operational excellence, our balance sheet strength is going to help us well. And I think we hit our commitments, we had last year in -- tough economic conditions. I think we can do the same thing as we move forward in 2023 as well. Anthony?
Diego Scaglione: Yes, I would just add, I think if you look back to the prior Great Recession 2008, 2009. We have a much healthier and stronger operating environment as well as the store network. So as we think about the impact, obviously we're always going to look at that impact. We're going to manage the balance accordingly, but I think we're going to show that we continue to be resilient.
Timothy Perrott: Great, the next question is, if the macro environment gets significantly worse, how does this impact plans for the share buyback?
Gerry Smith: But first I want to thank Board for their commitment to the $1 billion buyback and the Board is still committed to the $1 billion buyback through 2025. We've got as Anthony said, we've got a really strong balance sheet that really helps. We demonstrated our operational excellence in Q4 when we bought a lot of shares back in -- tough economic conditions and we'll continue to drive our operational excellence, I think it separates us quarter over quarter, we demonstrated this excellence that really helps us generate cash huge, huge cash flow in Q4 and we're going to focus on doing that again this year. And have the ability because we think returning capital to our shareholders is important. Obviously, if conditions got really crazy or some type of even stronger. We have the ability to throttle up and down, but the reality is we are committed, as a Board and the company to return capital to our shareholders across that $1 billion plan by the end of 2025.
Timothy Perrott: Great, the next question is regarding guidance and that is just how much of the guidance in '23 is coming from Veyer and Varis?
Diego Scaglione: Let me take that one Gerry. So, as we outlined in our prepared remarks, we expect growth in both Veyer and Varis on a year-over-year basis. Overall for Veyer outside of the commercial agreements, which is obviously the factored into the ODP Business Solutions and Office Depot results, we expect Veyer to contribute approximately $10 million in external EBITDA roughly $0.10 on an adjusted basis. And just to remind investors that the third-party business is really going to come through from an EBITDA standpoint by backhaul and online haul, but the growth that we have and we're trending higher than our $30 million target that we set for 2025 which is off to a great start. With respect to Varis, we also provided guidance in the range both OpEx and CapEx and this is going to be lower on a year-over-year basis, so good progress on the Varis platform and more to come.
Timothy Perrott: Great, super. The next question is for regarding ODP Business Solution's great results in 2022, how much of this is from organic versus any acquisitions?
Gerry Smith: I'll take that one, and first, none of us inorganic all of that was organic. I also want to thank Dave and the team for almost double in operating income may - across the entire team all the routes to market as well. And I think that's testimony to over 50% of people are back in the office, but we spent a lot of time this is operational excellence again. We've done through account-by-account early last year that had a huge result. Anthony and I and Dave, we're involved in that. And I think that sets up for a really strong 2022 and that momentum will continue in '23, but again, Dave, Tom, Steve, Brian, Chris, Kim. Thank you for a great year and the whole team. It's really making a difference. I'm super optimistic in '23.
Timothy Perrott: Great. And the last question is regarding Office Depot just generally, it seems that traffic trends have been overall lower do you expect this to continue into 2023 and what is the outlook for store close this year?
Gerry Smith: I'll start and I'll let Anthony finish, from an overall perspective, as we said at Investor Day we believe category expansion is a huge key to that and we're actually doing a lot of deep dives across all our categories right now. We want to bring into categories to the business. Also want to highlight hey, we have a 20-minute guarantee out there from a BOPIS online pickup and store that no one else has. And so, we think there's going to be a lot of advantage omnichannel. I think Kevin's team has done a remarkable job - but I think almost world-class mid to high 70s from a low to mid-70, excuse me, from a net promoter score perspective and that's going to make a difference over time. Customers are going to remember that experience. They're going to want to come back into the stores across all those pieces, it's important, Anthony, you talk about footprint.
Diego Scaglione: Yes, I echo Gerry's comments, really-really proud of what the retail team and the omnichannel I should say has been able to accomplish over the last couple of years. And with the product assortment with our outlook with a stronger network, we expect a slightly slower pace of store closures. Again, this is going to be dependent on a number of factors, but we expect a year-over-year slightly slower pace of store closures.
Timothy Perrott: Great, super. I think we're up against the hour. So I'll just ask Gerry any final comments.
Gerry Smith: Thanks, Tim for coordinating, Michael, thanks for the questions you submitted. And for our investors, thank you. I'm super proud of our team for a tremendous 2022. We delivered our commitment, which is part of our 5C culture on Investor Day we said we're going to hit our commitments, we deliver that. Our low cost model contributed that. Our operational excellence distributed that. Our 4 business unit strategy and very importantly, our share buyback is very important from a shareholder perspective and really driving its value. Our #1 focus is driving shareholder value, we think we're well positioned 2023 to do that and I do want to mention again the NASDAQ tomorrow, we send an invitation out, but really -- I encourage everyone to come and attend our Varis Investor Days there. You have Prentis and Daniel and the team there to talk about Varis, I'll be there with Anthony as well. We're really excited to talk about the potential value creation of Varis for ODP shareholders in the future. Thank you again everyone. We'll see a bunch of you tomorrow and look forward to talking again in the next quarter.
Timothy Perrott: Operator, that's all we have. We can end the call.
Operator: Thank you for your participation, this concludes today's call. You may now disconnect.